Operator: Good day. And thank you for standing by. Welcome to our Q4 2023 Financial and Operating Results Conference Call and Webcast for C3is. At this time, all participants are in a listen-only mode with question-and-answer session. Please note that today’s conference is being recorded. I’d now like to hand the conference over to your speaker, Dr. Diamantis Andriotis, CEO. Please go ahead sir.
Diamantis Andriotis: Good morning, everyone, and welcome to our C3is fourth quarter and full year 2023 earnings conference call and webcast. This is Diamantis Andriotis, CEO of the company. With me on the call today is our CFO, Nina Pyndiah. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance and are based on current expectations and assumptions, which by nature are inherently uncertain and outside of company's control. At this stage, if you could all take a moment to read our disclaimer on Slide 2 of this presentation. I would also like to point out that all amounts quoted, unless otherwise clarified, are implicitly stated in U.S. Dollars. Today, we released our earnings results for the fourth quarter and full year 2023. So, let's proceed to discuss these results and update you on the Company's strategy and the market in general. Slide 3 shows the dry bulk shipment volume growth in 2023 as compared to 2022. Global seaborne iron ore trade grew by 4.5% to 1.63 billion tons in 2023, with Chinese imports rebounding by 7% year-on-year. Chinese steel production increased by 0.9% in 2023 after two years of contraction. Domestic iron ore output and stockpiles moved higher. Coal ton miles expanded by 6.5% compared to 2022, a result of global focus on energy security which inflated the coal trade. Chinese imports surged during 2033 as thermal selectivity increased, hydropower underperformed, and domestic coal production was limited at 4.3%. India emerged as a leading buyer of coal cargoes as electricity demand outpaced domestic coal-production growth. Grain shipments grew by 1.7% compared to 2022 as record soybean and corn season in Brazil have helped fill the gap of crop losses from Ukraine and Argentina. Falling prices of agricultural commodities and better crop yields in North and South America are expected to support green trade in 2024. Minor bulk trade high correlation to global GDP growth resulted in an expansion of 2.1% in 2023. Atlantic steel shortages incentivized Pacific exports and inflated backhaul trades. Slide 4 shows the increasing demand for dry bulk commodities versus the handysize fleet growth. As shown in the previous slide, drybulk demand increased by 4.4% in 2023 and is expected to increase by 2.1% in 2024. After contracting by 1.2% 2022, minor bulk ton mile trade increased by 4.1% in 2023, while it is expected to further increase by 4% in 2024. A strong fourth quarter, mainly driven by the Atlantic Basin in December, helped to maintain the average rates at $12, 800 the highest rate compared to the first three quarters of 2023. Especially for Q4, the increase was up an astonishing 45% compared to Q3, where traditionally we see the strongest rates of the year. This increase was mainly attributed to heavy delays at Panama Canal, causing a backlog of vessels waiting to drives it through the canal and causing an imbalance in the supply demand ratio, especially in USG and ECSA markets. The IMF has upgraded the global GDP growth forecast by 0.2% to 3.1% for 2024, with China projection up by 0.4% at 4.6% and India projection up 0.2%, up 6.5%. The Chinese economic recovery for COVID -19 is still at its early stages and expect to accelerate once the property market stabilizes and consumer confidence returns. Gradual stimulus measures, heavy investment on infrastructure, and higher exports provided support for raw materials demand. The lower energy, food and boring costs currently support the demand recovery for the less of the world. On the fleet growth, the handysize segment is quite overaged with a very small order book. In December 2023, indicative average new building prices for a handysize was around $32.5 million and $24.8 million for five year old vessels. The drybulk higher of the book annual stands at 30 years historically low levels, while 16% of the drybulk handysize fleet is above 20 years of age. The small handy fleet is expected to shrink by 0.2% in 2024. Compliance with new environmental regulations, CXI, CII, capped with an overage fleet are likely to accelerate demolition, thus reducing average fleet supply. Moving on to slide 5, 2023 has been another positive period for crude oil trade and deterred by high oil prices and risks of economic recession. Despite the ongoing crude oil production cuts enforced by OPEC members, industry participants believe that the tanker market environment will remain positive through 2025. The ongoing war in Ukraine recreated trade patterns shifts benefiting long-haul crudes and causing charter rates for tankers to rise. Crude oil demand in ton-mile terms grew by 5.9% in 2023 and is expected to grow by 4.3% in 2024. Seaborne crude oil trade has been supported by increasing demand from China and rising exports from suppliers in the Americas. In 2033 crude oil trade was estimated to have increased by 5.2% or 335 million dwt, whereas in 2024 it is expected to further increase by 3.4% or $346.5 million dwt. The tanker order book remained at historically low levels, standing at 6.7% of fleet capacity at the end of December 2023. Emission regulations are expected have a further moderating impact on active tanker supply. Slide 6 shows the handysize fleet age and growth. The handy-size market by the end of 2023 was the third largest high sector in drybulk shipping in a number of units, around 23% of the trade in the drybulk fleet. The Handysize bulker fleet includes many old vessels with plenty of demolition potential. Almost 40% of Handysize drybulk carrier fleet is between 10 to 15 years of age while a total of 70% of the trading fleet is estimated to be 15 years old or older. New environmental regulations are likely to accelerate demolition. Order book to trading ratio was 10% in dwt terms. In 2023, net fleet growth for handysize of 20, 000 to 43, 000 dwt was 3.3% year-on-year. Net fleet growth is expected to continue at around 4.3% in 2024 and then at around 3.1% in 2025. Fleet growth forecast for 2024-2026 is based on the current order book after assuming slippage and expected demolition. Looking forward to 2024, the outlook for the handy bulker market is cautiously optimistic with room for gradual improvements. According to current projections, the growth in bulker demand is expected to be slightly above fleet expansion combined with constraint delivery schedule and potential for increased demolitions. Several factors, including the recent exhalating attacks from Houthis in the Gulf of Aden, the implementation of reduced vessel speed and extended retrofitting time due to environmental regulations coupled with recently announced constraints in the Panama Canal are poised to shape market dynamics. Slide 7 shows the Aframax tanker’s fleet age and growth. Or the book for Aframax tanker vessels stood at just 5% of the existing fleet at the beginning of 2024, the lowest level seen the past 28 years. Almost 30% percent of Aframax tanker vessels' fleet is between 15-19 years of age while 90% of the trading fleet is older than 20 years. Compliance with stricter environmental regulations is likely to accelerate demolition, thus reducing available Aframax tanker fleet supply. Initial regulations are expected to have a further moderating impact on active tanker supply. Tanker supply, combined with geopolitical factors and environmental impacts, will heavily affect tanker rates. The effects of the redrawing of trade lanes resulting from Russia's invasion of Ukraine continued to support the Aframax market in particular. However, the same peaks and corresponding freight rates seen in Q4 of 2022 were not reached. After the attacks commenced on vessels passing through the Red Sea, Gulf of Aden around the end of November, a gradual strengthening of a tanker market East of Suez was observed, as vessels started rerouting by a Cape of Good Hope instead. This has resulted in less availability of vessels East of Suez and a less efficient mechanism to rebalance the vessels supply on either side of the Suez. If a Red Sea situation persists, upwards pressure will also be expected in Atlantic Aframax market as less tonnage will be available due to the longer routes taken. During the last quarter of 2023, there was a clear gap between tanker savings West and East of Suez. We saw a significantly further market in the West, both on dirty and clean trades. The Aframax rates increased in Q4 compared to Q3 as crude oil exports out of US Gulf reached record figures and this combined with improved export content is also from other key exports areas in the Atlantic kept the fleet increasingly busier. Slide 8 shows the current fleet of C3is. By the end of Q4, 2023, C3is owned and operated a fleet of 200 handysize drybulk carriers and one Aframax oil tanker with an average age of 13.4 years. All vessels have had their balanced weather systems already installed. Furthermore, there are no immediate capital commitments for special surveys as the next one viewed is in Q3, 2025. All vessel are currently unencumbered and currently employed on short to medium-term period charters and spot voyages. For the contracted revenues of the company, the Eco Bushfire is on time charter at the daily rate of $13, 000 until April 2024. The Eco Angelbay is running time charter at a daily date of $15, 000 until March 2024. The Afrapearl II EX Stealth Berana is in spot voyage. Slide 9 shows a sample of international charters with whom the management company has developed strategic relationships and has experienced repeat business. Repeat business highlights the confidence our customers have for our operations and the satisfaction of the services we provide. The key to maintaining our relationships with these companies are high standards of safety and consistency of service. I will now turn over the call to Nina Pyndiah for our financial performance.
Nina Pyndiah: Thank you, Diamantis, and good morning to everyone. Please turn to slide 10 and I will go through our financial performance for the fourth quarter and 12 months of 2023. Voyage revenues for three months ending December 31, 2033 amounted to $13.8 million and $28.7 million for 12 month ending Dec 31st, 2023. Compared to Q3 ‘23, our net revenues increased by 36%, primarily due to the increase in the average number of vessels. Our fleet operational utilization was 87% for the fourth quarter and 91.6% for full year 2023. For the fourth quarter of 2033, the daily TCE was $34, 060 and for a 12-month period the value was $23, 453. Voyage expenses and vessels operating expenses for the three months ended 31st of December ‘23 was $4.4 million and $1.5 million respectively. For the 12-month period, the figures were $7.6 million, and $4.8 million respectably. The increases in both voyage expenses and vessels operating expenses are attributed to the increase in the average number of vessels and the addition of our Aframax tanker in their initial fleet. Voyage expenses for the 12 months ended December 31st, ‘23 mainly included bunker cost of $3.4 million, corresponding to 45% of total voyage expenses and commissions to third parties of $1.2 million, corresponding to 16% of the total voyages expenses. Operating expenses for the 12 months ended December 31, ‘23, mainly included core expenses of $2.8 million corresponding to 58% total operating expenses, spares and consumable cost of $1 million, corresponding to 21%, and maintenance expenses of 400, 000 representing works and repairs on the vessels, corresponding to 8% of total vessel operating expenses. Total calendar days for our fleet were 276 days, for the three months ended December 31 ‘23, and 901 days of the 12 months of ‘23. Of the total calendar days in the fourth quarter of ‘23, 174 or 63%, were time charter days, and for the 12 months, 680 or 75.5% were the time charter days. General and administrative costs for 12 month ended 31 December ‘23 was $1.2 million. Depreciation costs for the 12 months ended 31st of December ‘23 was $4.1 million, a $3.5 million increase from $0.6 million for the same period of last year due to the increase in the average number of vessels. Interest and finance costs, for 12 months ended, 31 of December ‘23, was $1.4 million and related to the accrued interest expense related party as of December 31 ‘23 in connection with the $38.7 million acquisition price of our Aframax Tanker Afrapearl II which is payable by July ‘24. EBITDA for the 12 months ended 31 December ‘23, amounted to $14.6 million and $7.64 million for Q4 ‘23, representing an increase of 41% from Q3 ‘23. As a result of the above, for the 12 months ended December 31, ‘23, the company reported a net income of $9.3 million. The net income for fourth quarter was $5.6 million, corresponding to an increase of 67% from Q3 ‘23. Turning to slide 11 for the balance sheet, the fleet book value as at the end of December ‘23 was $75.2 million. As at the end of ‘23, cash and cash equivalent were $9.1 million, whereas the company had no outstanding bank debt. The financial ability of $39 million relates to the Aframax oil tanker that was acquired in July ‘23 and is due in July ‘24. Based on the current estimated fleet market value as of March ‘24, the company's net asset value is approximately $50.4 million, representing 10.3x its current market capitalization. Concluding the presentation on slide 12, we outlined the key variables that will assist us progress with our company's growth. Owning a high-quality fleet reduces operating costs, improves safety, and provides a competitive advantage in securing favorable charters. Maintaining the quality of vessels by carrying out regular inspections, both while in port and at sea, and adopting a comprehensive maintenance program for each vessel. Discipline growth with in-depth technical and condition assessment review. Timely and selective acquisitions of quality vessels. Current focus on short to medium term charters and spot voyages, chartering to high quality charters such as commodity traders, industrial companies and oil producers and refineries. Maintaining an adequate level of cash flow and liquidity, no outstanding bank debt. At this stage, our CEO, Dr. Diamantis Andriotis will summarize the concluding remarks for the period examined.
Diamantis Andriotis: Since our Company’s listing in late June 2023 and following the acquisition of our Aframax, the first step of our growth strategy, our expanded and diversified fleet has enabled our Company to enjoy solid financial performance. Indicatively, during the fourth quarter of 2023, we achieved a fleetwide time charter equivalent rate of $34, 000 per day. As a result, during the fourth quarter of 2023, we generated revenues of $13.8 million and a net income of $5.6 million, representing increases of 36% and 67% respectively from the previous quarter. The revenue generation of $23.9 million, achieved during the second half of 2023, since our Company’s spin-off from its parent company, represents approximately 83% of the full year’s revenue. We believe that this is indicative of our ability to efficiently operate our fleet and capitalize on the sustainable freight rate environment. Specifically, our two handysize bulk carriers which are mainly employed under short-term time charter contracts, are currently earning charter rates ranging from $13, 000 to $14, 000 per day. The earnings raised from our two handysize drybulk carriers are enhanced through the operation of our Aframax tanker in the spot market. The vessel is currently capturing the prevailing robust Aframax spot rates which stand in excess of $40, 000 per day, a level that is in line with the time charter equivalent rate achieved by our tanker during the last quarter. Our diversified fleet and deployment in the spot market enables our Company to take advantage of the promising charter rate environment and is expected to generate strong cash flow going forward. We believe that our capital structure comprising of no bank debt and a strong cash balance, currently standing at $35.6 million, will further enhance our Company’s ability to fund selective vessel acquisitions following payment of the remaining purchase price for our Aframax tanker. We would like to thank you for joining us today and look forward to having you with us again on our next call for the first quarter of 2024 results.
Operator: [Operator Instructions]
 :
 :
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you participating. You may now disconnect your lines. Thank you.